Operator: Good morning, and welcome to the Alliant Energy's Conference Call for First Quarter 2022 Results. This call is being recorded for rebroadcast. At this time, all lines are in a listen-only mode. I would now like to turn the call over to your host, Zach Fields, Investor Relations at Alliant Energy.
Zach Fields: Good morning. I would like to thank all of you on the call and on the webcast for joining us today. We appreciate your participation. Joining me on this call are John Larsen, Chair, President and CEO; and Robert Durian, Executive Vice President and CFO. Following prepared remarks by John and Robert, we will have time to take questions from the investment community. We issued a news release last night announcing Alliant Energy's first quarter 2022 financial results. This release as well as an earnings presentation will be referenced during today's call, and are available on our Investors page of our website at www.alliantenergy.com. Before we begin, I need to remind you that the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy's press release issued last night, and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. At this point, I will turn the call over to John.
John Larsen: Thank you, Zach. Hello, everyone, and thank you for joining us. 2022 is off to a solid start with over 25% of our annual earnings achieved year to date. And we are reaffirming our consolidated 2022 earnings guidance of $2.67 to $2.81. I'll share some of the key highlights and then turn the call over to Robert for more details relating to our financial performance, renewable investments and regulatory matters. First, our temperature normalized sales were ahead of forecast, continuing a trend we saw throughout most of last year and a key indicator of the strong and diverse customer base we proudly serve. We also had increased interest in activity on the economic development front, including the recent announcement that one of the largest Amazon facilities in the country will be built near Cottage Grove, Wisconsin. The warehouse and distribution facility with total 3.4 million square feet and create approximately 1500 jobs and in Iowa, we're excited to partner with Verbio as they break ground on their biorefinery expansion near Ames, Iowa next month. Another item to highlight was the strong performance from our wind portfolio. We saw outstanding wind power production for the first quarter with total production more than 15% higher than our forecast and some of our newest wind sites achieving net capacity factors in excess of 60% in the month of March marking one of the strongest wind periods we have seen since we began owning and operating wind nearly 15 years ago. The strong wind energy performance helped us manage the impacts of rising fuel costs and demonstrates the customer benefits of having a diverse mix of energy resources in our portfolio, another example of our clean energy blueprint in action. These solid results help us continue our long track record of delivering value for our customers, communities and investors. And we're also continuing to monitor and adjust to the impacts of global sourcing and supply chain issues as well as the impacts of inflation. Robert will share more about this when I turn the call over to him in a few minutes, but let me note how important it has been to have a flexible plan, talented and creative team and our ongoing efforts to manage costs for the benefit of our customers. On the solar front, earlier this week, we held a Golden Panel event for our officials and community members as the first panels were installed at our North Rock Creek solar farm near Edgerton, Wisconsin. And we recently celebrated the installation of the final solar panel at our Bear Creek facility also in Wisconsin. And yesterday we received verbal approval from the Public Service Commission of Wisconsin for our second Certificate of Authority filing for an additional 414 megawats of solar generation in the state. This result builds on our long history of achieving constructive regulatory outcomes. Throughout the process of the filing our team demonstrated transparency regarding the current environment of supply chain and tariff risks and we're committed to continuing that transparency as we continue our journey towards a clean energy future. That journey is part of our broader corporate responsibility. We've been sharing stories of our commitment to the environment throughout the month of April in honor of birthday, including progress we've been making on our commitment to plant one million trees by 2030. We recently approved two agreements with Wisconsin Department of Natural Resources in Sauk and Juno counties to begin tree plantings as a part of their reforestation efforts. More than 80,000 tree seedlings would be planted this year and these Wisconsin counties through this partnership. And in Iowa, Burlington, Marshalltown and Grinnell are just a few of the 33 Iowa communities that will soon be greener. Thanks to grants from our Community Tree Program in partnership with Trees Forever. Trees Forever will provide communities with tree planting support from selecting the best species for their area to creating a care and maintenance plan to make sure the new trees have a long and healthy life. Equally important to our environmental efforts are the social commitments to our employees, customers, and the communities we serve. We know that when we embrace the diversity of our employees and continue to build upon our strong culture, we create a sense of belonging inclusion that leads to wonderful things for our customers. And we are being noticed for our efforts. We recently were recognized by Forbes as a top mid-sized employer for the fourth year in a row and just last week we were named to Newsweek's first ever most trusted companies list. We will be sharing more of our progress in highlighting new initiatives with the release of our updated corporate responsibility report later this year. In summary, 2022 is off to a solid start and we look forward to building on that momentum throughout the year as we focus on continuing our role as a leader in advancing renewable energy, delivering solid returns for our investors and delivering on our purpose of serving customers and building stronger communities. I want to thank you for your continued interest in Alliant Energy. I'll now turn the call over to Robert.
Robert Durian: Thanks John. Good morning, everyone. Yesterday we announced first quarter 2022 GAAP earnings of $0.77 per share, compared to $0.68 per share in 2021. First quarter earnings were 13% higher on a year-over-year basis led by increasing rate base at our Wisconsin utility, higher AFDC earnings, largely attributable to our 2022 solar portfolio construction and higher electric and gas sales. For the full year, we are reaffirming our earnings guidance of $2.67 to $2.81 per share. The midpoint of that range is a 6% increase over 2021 adjusted earnings per share of $2.58. Details on our quarter earnings drivers and 2022 full year guidance can be found on Slide 3. Our temperature normalized sales for the first quarter of 2022 were better than expected, growing more than 1% compared to the first quarter of 2021, driven by stronger residential and commercial sales. Residential sales were higher primarily due to new customer growth in both Wisconsin and Iowa. And the commercial sales growth was supported by continued pandemic recovery in the education, office and entertainment sectors of our customer base. Owned and other utilities was flat versus the first quarter of 2021 after excluding changes in energy efficiency expenditures. In the current environment of widespread inflationary pressures across the various areas of our business, I'm proud of our team's efforts to control costs on behalf of our customers and maintain utility O&M expenses consistent with 2021 levels. Moving to our new solar developments, we have made good progress on the construction of the initial 325 megawats of utility scale solar in Wisconsin that is planned to go in service this year. Slide 4 showcases some of these 2022 solar development activity. The department of commerce investigation that was initiated in the first quarter has the potential impact of timing and costs of our 2023 planned solar projects. However, we feel confident that our 2022 planned solar projects will progress as anticipated and be placed in service later this year. We are advocating both directly and indirectly through multiple trade organizations for an expedited and fair outcome of this investigation. While we acknowledge investigation could impact our 2023 plan projects, we are focused on mitigating such impacts and continuing our long track record of delivering on our 5% to 7% growth targets throughout the planning period. We have included our key regulatory initiatives on Slide 5. We were pleased to reach another key milestone with our clean energy blueprints yesterday, with the receipt of the Public Service Commission of Wisconsin's verbal approval of our second certificate authority filing for 414 megawats of additional solar projects in Wisconsin. Looking forward in Wisconsin, we are preparing a third certificate of authority filing to request approval, to construct an estimated 300 megawats of additional firm capacity to meet our customers growing demand. We're planning to make that filing in the upcoming month. And in our Iowa jurisdiction, we recently requested to provide the procedural schedule for our advanced remaking filing for 400 megawats of solar and 75 megawats of battery storage in the state. This request was made to allow time for our team to ensure we are providing the most current cost estimates for the projects we are pursuing. The updated procedural schedule can be seen on Slide 6. We have requested a decision from Iowa regulators by the end of the third quarter. We do not anticipate this modified procedural schedule to have a material impact on the timing of the in-service dates of our projects or the timing of our overall CapEx plan. Turning to our financing plans, we have made great progress so far in 2022. In the first quarter at our Align Energy Finance subsidiary, we refinanced our $300 million term loan and issued $350 million of new long-term debt. Our remaining 2022 financing plan includes issuing up to $600 million of long-term debt at our Wisconsin utility and retiring $325 million of remaining long-term debt maturities in the second half of 2022. Lastly, Iowa corporate tax reform was signed into law last month. The new tax rules are expected to phase down the corporate income tax rate from its current rate of 9.8% to as low as 5.5% over time. The amount the tax rate will decline each year is dependent on annual state income tax collections from corporations and will be announced by the fourth quarter of each year. We view this tax law change as positive for customers as it is expected to provide long-term benefits to lower customer costs and serves as another driver for economic development activities in Iowa. As a result of this tax change, we also expect to recognize a modest earnings charge later this year, related to revalue and deferred tax assets at our non-regulated businesses, which we plan to recognize as an adjustment to our earnings from normal operations. Refer to Slide 7 in our presentation for more information on this tax change to assist you with your modelling. We appreciate your continued support of our company, and look forward to meeting with many of you virtually and in person in the coming months. As always we'll make our Investor Relation materials available on our website. At this time, I'll turn the call back over to the operator to facilitate the question-and-answer session.
Operator: [Operator instructions] We will take our first question from [indiscernible] from Guggenheim Partners. Please go ahead.
Unidentified Analyst: Hey, good morning guys. I just wanted to touch a little bit on sort of the circumvention tariffs, because obviously it's topical with investors and we could be in a situation, we get a proposed decision from the commerce department in August. Just curious on, sort of the language around potentially seeing a shifting out of projects. The 23 projects, certain peer and a couple peers actually talked about potentially having pricing uncertainty through '25. So I guess, the question is, is why only would the 23 projects could we see further slippage? And then curious also what levers, you have to sort of mitigate the shifting out of that sort of solar capital to reiterate the 5% to 7%, or could we maybe see a situation where the profile of the 5% to 7% is slightly tweaked in the near term as we're thinking about capital being potentially pushed out.
John Larsen: Yeah. Great. Hey, Shar [ph] John here and appreciate the question. Certainly is topical. No doubt about that. Maybe I'll start with, if you recall on the let call, we mentioned some of the planning work we did last fall, when we faced a similar petition. So team took a look at that, made some adjustments to our projects and we accelerated some material deliveries and kept these sites moving, if you will. That's helped us, put us in a really good position for our '22 and also those planned for the first part of '23. So as you noted, the focus is for those call it in the tail end of '23. So I think Robert maybe put a little bit of context around the megawatts and to your point about how we think about the capital impact of that.
Robert Durian: Yeah, good morning, Shar. As John noted, we took, yeah, we took actions after the first petition in 2021 to mitigate the impacts of the potential tariffs. And we've made really good progress in securing panels through the first quarter of this year. So as we pivoted also to source panels from some of our projects that would not be subject to the tariffs. As a result, we do not expect significant impacts to the 325 megawats of WPL solar projects that we expect to put into service later this year, as well as we don't expect any significant impacts to approximately 250 megawats of the earlier projects in 2023. So we're going to continue to monitor the department of commerce investigation over the next couple quarters here and continue to work with our developers and our solar panels to mitigate the impacts on the timing for what I would characterize as the remaining 500 megawats that John indicated was in the kind of the latter half of 2023.
Unidentified Analyst: Got it. So just to round that out even with the shifting of some capital and megawats, you have enough mid measures to sort of have enough confidence that the profile of the 5% to 7% where you are within that range, shouldn't be impacted.
John Larsen: Yeah, I think, Shar, we certainly remain committed to that. There's clearly some I think it's a tail of some headwinds and tailwinds here. We've seen some load growth that's there. WE'VE had some great O&M, but as you note the impact to that and adjustments we'd have to make we would've to certainly factor that in as well, but off to a good start. Certainly a big part of our business planning is around contingencies for that back half of '23 projects as you noted.
Unidentified Analyst: Perfect. And then just one last one, John, if I may is it's terrific seeing sort of the flat O&M profile this year, but I'm just kind of curious if you're seeing some of the pressures in inflation I guess what's the level of confidence in maintaining that flat O&M profile. Obviously we saw the wage report this morning from the employment cost index. I guess, how are you offsetting some of the known pressures here that's coming from inflation?
John Larsen: Yeah, certainly there are impacts of inflation and cost of goods. As you know, there's no question about it, but as you know, we put in place our cost reduction efforts in mitigation. Now we've been on this for a few years and we've had a lot of good momentum going into this year. So that's certainly helpful. It's a lot harder to be on that negative trajectory when you have some of those pressures. We still have some of these cost reductions, labor and others that are yet in front of us. They will be perhaps dampened a bit by some of these inflationary costs. I don't know if you want to add anything to that, Robert, but it's certainly an area we're going to have to just keep very, very sharp focused Shar.
Unidentified Analyst: Got it. Got it. Terrific. guys, congrats on the results. It's a really good start. Appreciate it.
John Larsen: Yeah. Thank you.
Operator: We will take our next question from Julien Dumoulin-Smith from Bank of America.
Julien Dumoulin-Smith: Thank you. Good morning, team Roberts, John, it's pleasure. So I suppose just following up on Shar's question on a multifold just to be more explicit about the ability to backfill, just, can you talk through, what exactly you're doing on that front? Sounds like you already were moving this, but should we expect more distribution CapEx amongst other things here move around on -- and just related to that, if I can, just also on '23, what percent of your panels have you guys procured and where do you guys stand with counterparties to address it otherwise?
John Larsen – Chair: Yeah. Maybe I'll take your second question here first. So as we indicated, Julien, we got about 250 megawats of the roughly 800 megawats that we're planning on putting into service in 2023, where we either have sourced the panels and received them into the United States before the petition was filed, or we actually sourced them from vendors or suppliers that weren't subject to the potential tariffs that we're talking about. So, just to put in the context, there's about 500 megawats still in the latter half of 2023 that we haven't identified the sourcing yet still for sure if we're going to have any impacts from the tariffs. And so to put that into perspective most of those are part of our CA2 projects that we just received approval for and we've got cost target there, call it roughly $1,600 per KW. And so that's roughly call it maybe $800 million of CapEx that we're talking about. Couple things to be aware of as part of that number. We'll be spending some of the project costs of that $800 million just to prepare the sites for the panels for when they do arrive. So we'll continue forward with a lot of the preparation work and just be ready to go once we have the solar panel area identified as far as the source of that set of panels. The other thing I'd note is as you guys recall, we've actually petitioned with the commission and received approval to do tax equity partnership structures for these. And so that's another factor that limits really the impact on our earnings, because about a third of these costs are going to be sourced or financed through the tax equity partnership. So it limits the amount of rate based impacts and therefore earnings profile impacts when we think about that 500 megawats in the latter half of 2023. So, it's probably maybe not as big as maybe one might think when they first hear some of the megawat numbers and so when we think about how we're going to backfill that or take care of that, a lot of what John talked about, we tend to be a little more conservative with our sales forecast. We tend to be a little bit more conservative what we're doing with O&M costs. And we think we can probably make up and mitigate a good chunk of that through those two different types of activities and may not really need to backfill a whole lot of CapEx as a result of that.
Julien Dumoulin-Smith: Excellent. Thank you. In fact, you kind of answered the next question in some respects here if you can. Retail loan growth up 2% in the first quarter is robust. How does that track against your internal forecast? You said specifically a second ago, load forecasts are pretty conservative and then separately on the O&M side, I think you guys talk about 3% to 5% reduction. You said a second ago that, there's some more room to go on that. Again, I know that you're guiding flat this year, but more structurally 3% to 5%. There's more room to go on a 3% to 5% vis-a-vie offsetting this, if I hear you right?
John Larsen: Yeah Julian, John here. I might, start on the cost reduction. We still have a long term declining O&M trajectory and certain years it might be more than others. I think some of the offsets with inflation, it doesn't mean that we can't still achieve declining O&M because that's our focus. And we tend to be a little conservative on that as well as you noted, but on the sales forecast, we were probably in that 0% to 1%, but we're seeing with our internal forecast and if you recall over the previous years, we were probably more in the 0% to 0.5%, but we're starting to see that climb and towards that 1% or greater. So it's a sign of some great rebound that we've seen from COVID. There's always been some great strength in our Ag businesses and we've seen some pickup in advanced manufacturing. Now we're seeing that in sectors like education, hospitality, transportation, others that had still lagged a bit during COVID have come back through the tail end of last year and into this year. So it's really a good story. And I noted a lot of great interest on the economic development front. So we tend to wait a bit before we start adjusting our internal trend lines, if you will, but it's off to a very -- it's been off to a solid start here for a number of quarters.
Julien Dumoulin-Smith: Excellent. Well done. And on the low trend, even the Ag you mentioned here, is that something we should expect to accelerate given the global here as best you see it?
John Larsen: Well, it certainly, I think part of that, but these businesses find a way to be very efficient in what they do as well. So I think the point is it looks like it could be even more sustainable as maybe I would put it that way, but smart businesses and they know how to run efficiently but it's a net positive
Julien Dumoulin-Smith: Clearly. Well, best of luck. Thank you guys for the time.
John Larsen: Cheer. Thanks, Julien.
Operator: We will take our next question from Michael Sullivan from Wolfe Research.
Michael Sullivan: Hey everyone. Good morning.
John Larsen: Good morning, Michael.
Michael Sullivan: Hey guys. Just wanted to clarify kind of along the same line of questioning around the solar uncertainty from the DOC investigation, can you just play out the scenario if this preliminary ruling is kind of a negative outcome with tariffs and kind of what does that do to the plan and are you still able to move things around and hit your targets and the like?
John Larsen: Yeah, Michael, maybe I'll say it. I can assure you, we've done a lot of scenario planning on that and maybe it's not to get into too specific here, because there's a range of outcomes. We took some early action to have some very quality panel pricing and contracts. So it's just a matter of maybe if that clarity is there, that's certainly a good outcome. Pricing may have to be factored in, but when you look at the range of alternatives, these projects are going to make sense. There's a strong need. We've been talking about demand growth, a need for renewable. So that path and what we do is likely not really in question. It's just a matter of probably getting the certainty of what that pricing, if any change and maybe a little bit more on just the scheduling. What we'll do on our end is be well prepared for the sites. So when they arrive, obviously we can be very, very expeditious at getting them installed, which is what we did back last fall when we thought about our 22 projects. So hard to certainly handicap all of those outcomes, but maybe give you a little caller on how we're thinking about it.
Michael Sullivan: Okay. That's helpful. And yeah, just on the cost, maybe if you could give us the context there. I think Robert, you said this latest tranch is looking like 1600 KW. How does that compare to what you were seeing on some of the initial tranches of solar and how much higher could that go in some of the scenario and also if you run, looking out into the future?
Robert Durian: Yeah. Maybe the best data point I can give you is compare it back to the regulatory approvals and the updated information we've shared as part of the CA1 projects. Those are the ones that we're going to be putting into service here in 2022. So we did update back in July of last year, the commission and let them know that we did see some cost increases roughly in that call it 10% increase range, and that puts it likely in the call it 1400 per KW for those projects. Since then we've continued to see escalations in price, but we still think we're probably around that in the 1400 for those first CA projects. And then with these second CA projects that we just received verbal approval for yesterday, that's in the call it 1600 per KW range. So with that said, those prices are still attractive for us when we think about alternatives for us to provide resources for our customers demand growth. So we still feel very committed to doing these and moving forward with them and what I would characterize as good projects with great pricing. Right now, what we're just trying to figure out is the exact timing of when we may be able to get those in service based on this department of commerce ongress investigation.
Michael Sullivan: Okay, great. Thanks. And my last one, just on the O&M side of things, are you seeing any potential pressure from pension expense there? I think you're kind of covered in Wisconsin, but maybe in Iowa there might be exposure. How should we be thinking about that?
John Larsen: Yeah, there's interesting developments when it comes to the pension plan information. So we benefit from the fact that interest rates are rising, because that lowers our obligation. But the plan performance, obviously with the stock market being relatively flat this year doesn't meet our expectations as far as earnings on the plant assets. So when you combine those two together, we could see some, I would say modest increases in pension plan expenses for 2023. As you indicated in our WPL rate case, we have a deferral mechanism such that if our pension costs succeed, what was set in the 2023 rate case levels, we were able to defer those costs. So we won't see any know impact Iowa side because we haven't been in for a rate case for a while. That would be something that we would have to offset as far as any impacts on 2023.
Michael Sullivan: Okay. Thanks a lot.
Operator: We will take our next question from Andrew Weisel from Scotiabank. Please go ahead.
Andrew Weisel: Hi, good morning guys. Thank you for all the color on the renewable stuff. I want to change gears a little bit and that's about to be earnings trajectory. The first quarter was very strong and obviously if I take 77 versus the midpoint of the full year guidance, I calculate that's about 28% of the full year. That's go quite high. The last several years were kind of in the low twenties. So my question is, does this mean that you're tracking toward the high end of the range or is it more about an atypical seasonality due to whatever things like AFUDC for solar or any other consideration?
John Larsen: Yeah. Hey, Andrew, John here. I'd say this is first of all, large part of efforts we've been doing as we've been transitioning from specific large projects, as we've talked about having a little more kind of bite sized in-service capital. So it's part of our planning to really have earnings more stable throughout the quarters instead of having primarily it was Q3 with just weather. So rather than translate that into a, Q1 times four in a different outcome. We've really tried to manage that. So still feel very comfortable with the guidance range that we've had and this is a little bit more about how we planned our investments and our in our rate case planning.
Andrew Weisel: Okay. So in other words, the quarter wasn't necessarily stronger than you expected. It's just maybe, us on the outside, didn't quite get that.
John Larsen: It's certainly a bit stronger and I think I'd point to the sales was the primary positive upside on that Andrew, Okay.
Robert Durian: Yeah, I might add Andrew. On the sales, there's two factors to that. One is the temperature impacts, which was about $0.03 per share. The other was the temperature normalized sales growth being better than expected. So when you combine those two we're probably about $0.05 more than we originally expected in our initial plan. And so you're right in noticing that there was an increase, but keep in mind also on the temperature side, we normally exclude that for purposes of what we're trying to target with the midpoint of our guidance.
Andrew Weisel: Sure. Okay. That's helpful. Thank you both. Then second on the new Iowa tax change, I assume over time, a 100% of that savings would be passed on to customers, but what would be the mechanism? It might be too early, but would this be chewed up only after the next rate case whenever that is, or would it be more of like a fuel clause, annual adjustment?
Robert Durian: So a couple different pieces to that puzzle so to speak. When you look at our different mechanisms in Iowa right now, where we see probably some more near term impacts going directly back to customers is we've got a renewable energy rider, as you recall, with the 1,000 megawats of wind that we put in service in 2019 and 2020. That tax rate change once we see that would actually translate into some lower costs that we would pass through that rider. We also expect some positive benefits as a result of the transmission costs that we receive. And the fact that those costs will be lower and that will pass through our transmission rider immediately to customers. The remaining piece we're currently developing plans on how we would actually address that. There's no definitive mechanisms at this point but we're working with the regulators in Iowa to try and figure out a plan to be able to address that and figure out how we're going to give those back to customers by the time we get back to the next rate case.
Andrew Weisel: Okay. Would it sort of accrue on the balance sheet in the meantime while that's being decided?
Robert Durian: Still to be determined? Yeah, no, we'll still be working on that. We'll not have a sense really how big this is until we get to the fourth quarter and actually see the rates. So it's still a little early to really know if we're talking about material amount here yet or not. And so in the meantime, we'll be working on some plans to share with the regulators on how to do that.
Operator: We will take our next question from Andrew Levi from HITE Hedge.
Andrew Levi: Hey guys, can you hear me?
John Larsen: We can, Andy. Good morning. Good morning, Andy.
Andrew Levi: I'm going to go one more time on the solar CapEx. So just a couple questions around that. So it's $800 million of, I guess, headline CapEx right. Is that right?
John Larsen: Yeah, roughly that's the correct number,
Andrew Levi: Okay. And then 250 megawatts you said is already for. How much CapEx is that of the $800 million or is that not including, is that different?
John Larsen: That's different from the $800 million or related to the 500 megawats in latter half.
Andrew Levi: Okay. Okay. And then out of the $800 how much do you think would be backed off for tax equity? So just trying to figure out rate based impact.
John Larsen: Yeah, you're usually seeing probably somewhere in the neighborhood of 30% to 40% that's funded through tax equity partnership structures.
Andrew Levi: Okay. So, would we take 30% to 40% off of the $800 to get the kind of rate based CapEx effect or not.
John Larsen: Yeah. The rate based impact, you're correct.
Andrew Levi: Okay. And that's $500 whatever million dollars is that over '23 and '24 or was that all in '23 by the end of '23? So really a '24 earnings impact.
John Larsen: Yeah. That would be CapEx in '22 and '23 with rate based editions going in '23.
Andrew Levi: Okay. But towards the end of right as far as the piece that could be delayed, is that correct?
John Larsen: You're correct.
Andrew Levi: Okay. So let me just cut to the chase then. I understand all the things you said about sales and other mitigation aspects and the things maybe the better you can do, like done math, done rate based math. But kind of when this was occurring a couple quarters ago, real position was you were going to push it out and then replace it with other CapEx. And I don't know if that's part of the plan, because I think Julie kind of asked the question, but should we expect for whatever reason doesn't matter what the reason or what our views are that this can't be built till, I don't know, '25 because there's so much noise or the costs go up or whatever the case is that there is $500 million in incremental CapEx in '23, let's say '24 to substitute for that solar.
John Larsen: Yeah. So we would be looking at that as part of our call it 24, 25 rate case planning activities, Andy. So there would likely be some capital expenditures that if these things were delayed longer than expected that we would be replacing this solar CapEx with different CapEx. To your point, it could be electric distribution spend. It could be other resources that we think about to meet the growing demand of our customers. And so that would all factor into our rate case planning activities to ensure that we put together a plan that's in the best interest of our customers and ensure that we recovery of that is part of our next case process.
Andrew Levi: Okay. So it sounds like you're to recover the solar if I'm not mistaken that if there is material delay, that there could be, I don't know if it kind of be rough math, $15 million to $20 million of like net income that would need to be made up in the interim, right through that kind of bridge year bridge being '23 first half '24 to offset any major relations. So that was a way to look at it.
John Larsen: Yeah. I don’t go into the math on the numbers exactly Andy, but I think you're thinking about it correctly.
Andrew Levi: Okay. And so then back to maybe Shar's original question, like where you would fall within the range? So you have this 5% to 7% growth rate. You guys have done like an amazing job being at, the middle to the top end of that growth rate. It's reflected, clearly in the way that your stock trades relative to the other peers within the sector. I guess basically it would be very difficult to kind of, be toward middle to the top end that one year, that one bridge year, whatever that year is with that just based on the timing or am I looking at that wrong?
John Larsen: Well, I think that's fair Andy. There would be I'll characterize it as a short term or we may be on the lower end of that range is how I characterize it. But over the long term, we still feel good about the 5% to 7%. 
Andrew Levi: Okay. That's exact. Maybe that was the question I should just add one question instead of all these other questions, that's just me, so, okay. But thank you that makes very much. Have a great weekend.
Operator: We will take our next question from Ross Fowler from UBS.
Ross Fowler: Good morning, John. Morning, Robert, how are you?
John Larsen: Good morning, Ross.
Ross Fowler: So just got to beat the dead horse after all Andy's questions, but just going back to the 1600 kilowatt cost target in the CA2 process and obviously you've let us know that you're filing with the commission for an increase of the cost cap. So when we get to the other side of this circumvention case, and we actually determine if there's going to be a tariff, what that tariff looks like. Just remind us how the CA regulatory process works. If you're sourcing cost for those 500 megawats of projects is gonna go up and then maybe as a corollary to that question, is there any tariff assumption in that $1,600 kilowatt cost target?
John Larsen: Yeah. So first off there is no tariffs assumed in the 1600 per KW CA2 cost target. And what we would do is if we did see some additional costs above and beyond, what's in the CA2 target, we'd be sharing that with the commission similar to what we did with CA1 and CA2. As we went through the process, we've been keeping them informed. We've been very transparent about the economic conditions and inflation impacts on these solar projects. So it'd be a communication they would see throughout the next several quarters as we see information change, we'll share that with them. And at the end of the day, what'll happen is this information will be factored to our next rate case if there are any cost increases and we'll be going through a review of that and getting approval of that with the next rate case
Ross Fowler: That's great, Robert and then if by circumstance, hopefully not, but if you actually end up above the cost cap, what does that require you to do with the regulator? And then would you just go above the cost cap. So I really have to maybe delay some of these projects to source the panels from somewhere else. That's not subject to these tariffs to make sure I'm not increasing customer rates too much.
John Larsen: Ross. John here, maybe I'd say, it's not certainly atypical to go back if the there's a prudent cost increase on projects, we'd go back and work that through the process with our regulators. I think the real question is do the projects still make sense for customers, which I think Robert had noted compared to alternatives and the need that we have, the capacity need that we have, these are very strong projects. It's not necessarily something where you want the cost to increase, but they still make sense for our customers and we feel that's still gonna be a pretty strong story. I think the point about which panels, we've got to kind of take a look if there's different panels and different price out there, but we feel very good about the contracts we have in place and that's kind of a to be determined. So I don't want to get too far ahead on that part of it.
Ross Fowler: Yeah, no worries, John. Thank you. That's good color. Thank you. Thanks for the time.
John Larsen: Okay. Thanks so much.
Operator: That concludes today's question-and-answer session. Mr. Fields, at this time, I will turn the conference back to you for any additional or closing remarks.
Zach Fields: Thank you. This concludes Alliant Energy's first quarter earnings call. A replay will be available on our investor website. Thank you for your continued support of Alliant Energy and feel free to contact me with any follow up questions.